Operator: Welcome to Signature Bank’s 2014 Fourth Quarter and Year-End Results Conference Call. Hosting the call today from Signature Bank, are Joseph J. DePaolo, President and Chief Executive Officer; and Eric R. Howell, Executive Vice President, Corporate and Business Development. Today’s call is being recorded. At this time, all participants have been placed in a listen-only mode and the floor will be opened for your questions following the presentation. (Operator Instructions) It is now my pleasure to turn the floor over to Joseph J. DePaolo, President and Chief Executive Officer. You may begin.
Joseph J. DePaolo: Good morning and thank you for joining us today for the Signature Bank 2014 fourth quarter and year-end results conference call. Before I begin my formal remarks, Susan Lewis will read the forward-looking disclaimer. Please go ahead, Susan.
Susan Lewis: Thank you, Joe. This conference call and oral statements made from time-to-time by our representatives contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 that are subject to risks and uncertainties. You should not place undue reliance on those statements, because they are subject to numerous risks and uncertainties relating to our operations and business environment, all of which are difficult to predict and may be beyond our control. Forward-looking statements include information concerning our future results, interest rates and the interest rate environment, loan and deposit growth, loan performance, operations, new private client team hires, new office openings and business strategy. As you consider forward-looking statements, you should understand that these statements are not guarantees of performance or results. They involve risks, uncertainties and assumptions that could cause actual results to differ materially from those in the forward-looking statements. These factors include those described in our quarterly and annual reports filed with the FDIC, which you should review carefully for further information. You should keep in mind that any forward-looking statements made by Signature Bank speak only as of the date on which they were made. Now, I’d like to turn the call back to Joe.
Joseph J. DePaolo: Thank you, Susan. I will provide some overview into the quarterly results and then Eric Howell, our EVP of Corporate & Business Development, will review the Bank’s financial performance in greater detail. Eric and I will address your questions at the end of our remarks. Signature Bank delivered another exceptional year of record growth and performance resulting in our seventh consecutive year of record earnings. And for the fourth quarter, we again delivered strong deposit and loan growth, expanded top-line revenues and maintained stellar credit quality, culminating in our 21st consecutive quarter of record earnings. Moreover, while achieving these substantial results, we spent this past year building an even stronger foundation for the future success of Signature Bank. I will start by reviewing quarterly earnings. Net income for the 2014 fourth quarter reached a record 81.4 million, or $1.60 diluted earnings per share, an increase of 17.1 million, or 26.5% compared with 64.3 million, or $1.34 diluted earnings per share reported in the same period last year. The considerable improvement in net income is mainly the result of an increase in net interest income, primarily driven by strong deposit and loan growth, each again surpassing 1 billion. These factors were partially offset by an increase in non-interest expense attributable to our revenue growth initiatives and impart, regulatory and compliance costs. Looking at deposits, deposits increased 1.3 billion or 6%, to 22.6 billion this quarter, including core deposit growth of 1 billion and average deposit growth of 1.49 billion. For the year, deposits increased 5.56 billion, core deposits increased 4.14 billion, and average deposits increased 4.3 billion, all representing record increases. Non-interest bearing deposits of 7.1 billion represented 31% of total deposits and grew 1.67 billion or 31% for the year. The substantial deposit and loan growth, coupled with earnings retention and our mid-year capital raise, led to an increase of 4.9 billion or 22% in total assets this year, which reached 27.3 billion. The ongoing strong core deposit growth is attributable to the superior level of service provided by all of our private client banking teams who continue to serve as a single point of contact for their clients. Now, let’s take a look at our lending businesses. Loans during the 2014 fourth quarter increased 1.31 billion or 7.9%. For the year, loans grew a record 4.34 billion, and represent 65.4% of total assets, compared with 60.4% one year ago. The increase in loans this quarter was primarily driven by growth in commercial real estate, multi-family loans and specialty finance. Our credit quality remained exceptional this quarter, with non-accrual loans decreasing to 21 million or 12 basis points of total loans, compared with 24.4 million or 15 basis points for the 2014 third quarter and 31.3 million or 23 basis points for the 2013 fourth quarter. The provision for loan losses for the 2014 fourth quarter was 7.6 million compared with 7.6 million for the 2014 third quarter and 11 million for the 2013 fourth quarter. Net recoveries for the 2014 fourth quarter were 181,000 or an annualized 0 basis points, compared with net charge-offs of 1.5 million or 4 basis points for the 2014 third quarter and 2.8 million or 9 basis points for the 2013 fourth quarter. Consequent, the allowance for loan losses was 0.92% of loans versus 0.95% in the 2014 third quarter and 1% for the 2013 fourth quarter. Additionally, the coverage ratio further improved to a very strong 783%. Now, turning to the watch list and past due loans, watch list credits increased slightly by 3.4 million this quarter to 117.5 million, or a low 0.66% of loans. During the 2014 fourth quarter, we saw a decrease increase of 8.3 million in our 30 to 89 day past due loans to 22.9 million and our 90-day-plus past due loans increased slightly by 800,000 to 3.2 million. While we are pleased that our credit metrics remain strong again this quarter, we remain mindful of the uncertainty in the global economic and political environment and again, we appropriately reserved. Just to review teams for a moment. In 2014, we added five teams, additionally in 2014 three experienced banking group directors joined teams. We also added two new business lines to Signature Financial, National Franchise Finance and Commercial Marine Finance, which expand our product offerings and further diversify our revenue streams and asset composition. Also in December, we opened our 28th office in Forest Hills, Queens, and shortly we anticipate opening our first out-of-state banking office in Greenwich, Connecticut. At this point, I’ll turn the call over to Eric and he will review the quarter’s financial results in greater detail.
Eric R. Howell: Thank you, Joe and good morning everyone. I’ll start by reviewing net interest income and margin. Net interest income for the fourth quarter reached 215.7 million, up 37.4 million or 21% when compared with the 2013 fourth quarter, an increase of 5.1%, or 10.4 million from the 2014 third quarter. Net interest margin was down 9 basis points in the quarter versus the comparable period a year ago and decreased 2 basis points on a linked quarter basis to 3.23%. Excluding prepayment penalty income, core net interest margin for the linked quarter declined 1 basis point to 3.13%. The linked quarter decreases in overall and core margins are due to an excess in the average cash resulting from continued exceptional deposit growth and cautious deployment for security investments given the challenging market. The excess cash was deployed in December where we funded more than 50% of our quarterly loan growth and approximately 570 million of loans were funded in the second half of December, which will be beneficial for the first quarter margin. And let’s look at asset yields and funding costs for a moment. Due to the prolonged low interest rate environment and heightened competitive landscape interest earning asset yields declined 14 basis points from a year ago and were down 4 basis points from the linked quarter to 3.71%. Yields on the securities portfolio declined 5 basis points linked quarter to 3.2% given the challenging market for securities reinvestment due to compressed spreads and lower treasury yields, the duration of the portfolio decreased slightly to 3.2 years. Returning to our loan portfolio, yields on average commercial loans and commercial mortgages declined 5 basis points to 4.17% compared with the 2014 third quarter, excluding prepayment penalties from both quarters, yields would have declined 4 basis points again driven by increased refinance activity in commercial real estate. And now looking at liabilities, our overall deposit cost this quarter declined 1 basis point to 45 basis points mostly due to an increase of 11% or 669 million in average non-interest bearing deposits. With the substantial deposit growth in the quarter, average borrowings decreased 106 million to 2.1 billion or only 7.7% of our average balance sheet. Given the short-term low cost nature of the borrowings we paid off, the average borrowing cost increased 4 basis points from the prior quarter to 1.36%. As a result, the overall cost of funds for the quarter decreased 1 basis point to 53. Onto non-interest income and expense, non-interest income for the 2014 fourth quarter was 7.4 million, an increase of 1.3 million when compared with the 2013 fourth quarter. The increase was mostly due to a rise in net gains on sales of loans, along with a decline in write-downs on other than temporary impairment of securities. These improvements were offset by a decrease in net gains on sales of securities and an increase in other loss from CRA tax credit investments. Non-interest expense for the 2014 fourth quarter was 76 million versus 64.5 million for the same period a year ago. The 11.5 million or 17.8% increase was principally due to the addition of new private client banking teams, our continued investment in the growth of Signature Financial as well as an increase in cost in our risk management and compliance activities. Factoring in the significant hiring since last year and increased regulatory cost, the Bank’s efficiency ratio still improved slightly to 34.1% for the 2014 fourth quarter compared with 35% for the 2013 fourth quarter. And turning to capital, our capital levels remain strong with a tangible common equity ratio of 9.14%, Tier 1 risk base of 13.49%, total risk-based ratio of 14.39% and leverage capital ratio of 9.25% as of the 2014 fourth quarter. Our capital ratios were all well in excess of regulatory requirements and augment the relatively low risk profile of the balance sheet. And now let’s turn the call back to Joe. Thank you.
Joseph J. DePaolo: Thanks Eric. In summary, the 2014 fourth quarter contributed to yet another exceptional year for Signature Bank, where we grew deposits of record 5.56 billion with 33%. Increased loans of record 4.34 billion with 32%, loans now account for 65.4% of assets, maintained stellar credit quality with non-accrual loans at only 8 basis points of total assets, expanded net interest income by 152.8 million or 23.6%. That’s top-line revenue growth, added five private client banking teams, expanded Signature Financial with the addition of National Franchise Finance and Commercial Marine Finance, successfully raised nearly 300 million in common equity to further solidify our solid capital position and delivered a 30% increase in net income to a record 296.7 million. In closing, I would like to thank all my fellow colleagues for their efforts and execution leading to our 21st consecutive quarter and our 7th consecutive year of record earnings. Additionally, I would like to congratulate all my fellow colleagues on Signature Bank being named the best bank in America by Forbes for 2015. Now we’re happy to answer any questions you might have. Laurie, I’ll turn it over to you.
Question-and:
Operator: The floor is now open for questions. (Operator Instructions) Your first question comes from the line of Bob Ramsey of FBR Capital Markets.
Unidentified Analyst: This is [Martin Sternstein] in for Bob. Given efficiency gains this quarter, what could be the catalyst for further improvement and how should we think about expense in 2015?
Eric R. Howell: So I’ll answer the second part of that first. Given the heightened regulatory environment that we’re in we expect that expenses will be in the mid-teen range for growth in 2015 compared to 2014. Traditionally we would have probably been closer to that 10% to 12% growth range in expenses. But we are up against a lot on the regulatory front. As it relates to efficiencies, we continue to leverage the large infrastructure that we’ve had in place and as we grow net interest income and keep other expenses inline we should be able to garner further efficiencies and we should slowly see the efficiency ratio continue to triple down similar to what we saw in 2014.
Unidentified Analyst: And what’s your NIM outlook given the current rate environment?
Eric R. Howell: Well, fortunately for us we have a fairly robust loan pipeline so that is going to be beneficial for us as it relates to the NIM. And as we continue to grow loans as a percentage of the balance sheet we expect that the NIM will be fairly stable with a slight downward bias over the next several quarters.
Unidentified Analyst: And given your loan pipeline, it seems like your loan growth was on the ramp up in Q4, compared to the rest of the year. How do you think that will impact your total earnings assets in Q1?
Joseph J. DePaolo: Well it bodes well because a large part of that growth as Eric said in our comments more than 50% was in the month of December. And 570 million were in the last two weeks of the year. So we used up all of that excess cash and it bodes well as we head into the month of January.
Unidentified Analyst: And just kind of last question. Can you give us some color around what you see in the market in terms of pricing pressure for your loan products?
Joseph J. DePaolo: Well, there is -- I’ll talk about commercial real estate. We have on the five year product for multi-family we haven’t changed that rate since March. That was still three and three eights for that product and although there is some pressure we have of as Eric said a robust pipeline for loans and so we’re getting our fair share on the five year. Where we’re seeing most of the pressure and we don’t do nearly as many seven year product as we do the five year that’s where we are seeing the pressure we had held our rate since the middle of the year at three and three quarters. We’ve done some deals at three and five eight and three and a half where they were very quality assets and a following client we decided to go below by our three and three quarters. That’s where we’re seeing most of the pressure.
Operator: Your next question comes from the line of Jared Shaw of Wells Fargo Securities.
Jared Shaw: Looking at the loan growth, the backend of Q4, you had mentioned, is that really coming at the expense of growth in the first quarter, or was that just a general increase in the pipeline? How much of that was timing with people trying to get in before the end of the year?
Joseph J. DePaolo: I think it’s the latter people trying to get in before the end of the year. We didn’t do anything to try to push the business to close in 2014. So I don’t believe that in the first quarter is effected so to speak because of the amount that we closed in the last two weeks and in the last month of the quarter. The pipeline is still robust. In fact if you look it’s relative to the first quarter of 2014. 2015 has the much bigger pipeline and although traditionally the first quarter is very slow. Last year our first quarter was 699 million in growth so we expected to surpass that. But yet we probably think we’ll have a typical first quarter where it’s slower than the rest of the year.
Jared Shaw: And as you look at the components of that growth, is it similar to what we've seen this quarter, or will specialty finance increase their contributions in that overall growth rate?
Joseph J. DePaolo: I think the financial will increase over the year over 2015. I don’t know in any one particular quarter where I’d be able to say that but they have been averaging slightly over 200 million per quarter.
Jared Shaw: As you look at the securities portfolio for the decline in total balance this quarter and then the pullback in the duration, was that duration, the 3.2%, was that for the overall portfolio, or was that just for the AFS portion?
Eric R. Howell: No that’s for the overall portfolio.
Jared Shaw: And given where we are seeing rates here, is that a trend that we can expect to see continue while the 10 year is done here?
Eric R. Howell: Yes we would expect duration to continue to pull in.
Operator: Your next question comes from the line of Steven Alexopoulos of JPMorgan.
Steven Alexopoulos: I'd like to start -- so you hired five teams in 2014. Could you talk about the pipeline of teams today compared to where you were when you began 2014? Just general comments, is 2015 shaping up to be a better or worse year do you think for new team hires?
Joseph J. DePaolo: Pipelines of 2015 is relatively active, we expect that you’ll be hearing through a press release here and there of some teams that will be coming on-board towards the end of the quarter. I would say it was -- it is active this quarter than it was for the first quarter of 2014, in 2014 it was fairly active we brought on five teams plus three additional group directors, so we were happy with the amount of growth that we had during 2014 and we would expect something similar in 2015.
Steven Alexopoulos: Joe, you mentioned that you’re going to shortly open your first out of state office in Connecticut, in 2015 should we be thinking about the strength of you going to other markets playing out?
Joseph J. DePaolo: Good question, it’s not we don’t, we said in our comments that it was our first out of state banking office, but it’s actually close to then some of our offices in Long Island or to our headquarters. So, even though geographically it’s a different state we don’t treat it as that being different. So, that trend so to speak of opening out of state could be some more. I mean we’re looking at opportunities to in concentric circle, meaning continuity in Connecticut continuing in New Jersey, but I wouldn’t expect anything different for the rest of this year. We also have an office that we’re projecting to open in 2015 in Bay Ridge of Brooklyn. So, there is no trend there with the office opening up in Greenwich.
Steven Alexopoulos: And maybe I wanted to follow-up -- I know I asked this a quarter or two ago on the taxi medallion business, that it doesn't look like there are any nonperformers in the quarter. But could you remind us what were the current outstandings at the end of the year? How much of that is in New York City? Maybe talk about the pressure you might be seeing in that business, just given that medallion prices continue to fall?
Eric R. Howell: Sure, the overall book value is around 800 million, 625 million in New York and approximately 175 million in Chicago. And ultimately it’s good to be paranoid Steven, but at the end of day we’re going to get repaid though those loans by cash flows and not for newspaper articles and the cash flows there are quite strong, we’ve a 1.67 times debt service coverage in New York and a 1.66 times in Chicago. So the cash flows have remained strong in some cases have strengthened actually and we feel pretty comfortable about our ability to get repaid there.
Steven Alexopoulos: And maybe just finally, could you provide some more color on Signature Financial? Maybe talk about the balance of outstandings at the end of the year? And I know that I think the team had $4 billion or $5 billion or so of outstandings at their prior institution. Is a lot of that low hanging fruit now taken, is the plan just really to go into additional cities, maybe some commentary on that business? Thanks.
Eric R. Howell: Sure, Signature Financial’s overall balances are a little over 2.6 billion now as Joe said earlier they’re growing at about $200 million pace per quarter. We’d expect that trend to continue, we’ve added on a couple of business lines there in Marine Finance and Franchise Finance but that’s really helping us to offset the amount of principal repayments that we have coming back at us because it is a very short duration portfolio of three and five year self amortizing loans and leases so, if they can continue that pace of 800 million to a 1 billion a year we’d be fairly pleased. We do have a couple of business lines that we’re looking at this year other than the municipal which we’ve talked about in the past, and we haven’t announced the other business line and we’ll let people know about that once we get that up and running. But again those should help us really to maintain the level of growth that we’ve had and if you look at their portfolio going back to their prior institution they’re about $4.5 billion at their prior institution, but they could have been much larger than that unfortunately the bureaucracy that they have to put up with at their prior institution really put the brakes on their business. So, we’d expect that they can grow to that 4.5 billion and beyond here.
Joseph J. DePaolo: A good example of a team doing well at their previous organization like Signature Financial and then surpassing that business that they had there with business they’re doing here is our commercial real estate banking team that we brought on in the end of the fourth quarter I should say the end of 2007. That team has now surpassed their outstandings here at Signature compared to what they did at North Fork/Capital One, and it took North Fork/Capital One a number of years more than the success that they’ve had here, so I believe that teams that come on-board here can do better overtime than where they came from.
Steven Alexopoulos: And you guys confirm, there is no direct exposure to the energy sector in that business correct?
Eric R. Howell: Very little in some of the yellow metals that we have lent, but nothing that we are really concerned about Steve.
Operator: Your next question comes from the line of Lana Chan of BMO Capital Markets.
Lana Chan: Could you talk about opportunities for some potentially larger sized transactions on the lending side? I think you talked in the past on potentially taking some market from the CMBS deals and then so much of what we saw in the fourth quarter of 2013?
Joseph J. DePaolo: Sure we had one transaction and that was multiple loans in multiple buildings in the fourth quarter that came from the CMBS world that is 198.5 million. It was really expected to close originally for us in August and September, October you kind of get the idea and then ultimately closed in December. So we had opportunity to close one large transaction. We have another one not nearly as large probably around 100 million or so that may close in the first or second quarter, not sure. But in the first half of the year we have at least one if not two. So we’re getting more opportunities to do that. Each of these transactions are multiple buildings and multiple loans it’s not one loan.
Lana Chan: And just curious what the sort of average pricing was on the deal that closed in December?
Joseph J. DePaolo: I think it was 3.5.
Lana Chan: Thanks, Joe.
Joseph J. DePaolo: I’m sorry it was 3 and 38, Lana it was three and three eights.
Operator: Your next question comes from the line of Ken Zerbe of Morgan Stanley.
Ken Zerbe: Eric, you mentioned that the timing that you redeployed your cash into those loans in December would benefit your margin in first quarter. But I know you also give the full-year guidance of stable to slightly down. Should we expect -- just trying to get the right base for that -- should we expect an increase in margin in first quarter and then stable to slightly down, or does it go up and then you are only talking around a full-year basis, just trying to understand the timing of NIM? Thanks.
Eric R. Howell: I think for the first quarter we’re still looking at a stable to slightly down and a lot of the NIM going forward is going to be predicated upon the level of deposit flows that we have. And as in prior quarters we’re very happy to grow deposits and have that trade off with the NIM. We’ll take that trade off every day. So that’s really what’s going to be the primary driver as to which way the NIM goes at this point.
Ken Zerbe: And then second question, in terms of the office in Greenwich, what kind of businesses are you guys pursuing there? I can understand Brooklyn and Queens and Manhattan are all very CIRI focused, but in Greenwich are you still dealing with the New York City folks, or are you doing other business?
Joseph J. DePaolo: You would deal with some -- we have an office in White Plains and the team in Greenwich will deal with some of the business in Westchester, Northern Westchester, and then they can go fairly large distance in Connecticut. They have their tentacle so to speak go out about for Fairfield County. For us you can do business without having multiple branches today with scares and alike. So it is kind of a wide ranging geographical reach.
Ken Zerbe: Understood, but can you just remind us what kinds of loans are you doing in say Connecticut versus in New York?
Joseph J. DePaolo: Right now we’re doing the same we’re doing a number of multi-family and some C&I and nothing different. We will have an opportunity to do some of the private equity funds and some with the hedge funds that are in Greenwich. Some of them we deal with now out of the White Plains office. But some were hesitant because they like the idea of us being in Greenwich. So we’ll get an opportunity to hopefully take some of that business away from the larger institutions. It won’t require in many instances borrowing, it’s really the banking and handling wires and transfers and alike.
Operator: Your next question comes from the line of Casey Haire of Jefferies.
Casey Haire: So a question, I guess, on the loan-loss reserve ratio. Look, obviously asset quality is not an issue for you guys with non-accruals at 12 bps of loans. But at 92 bps LLR, are we kind of in the final innings of bleeding that down, or is there still more runway there?
Joseph J. DePaolo: I think there is still some more runway there Casey I mean a lot of it is going be predicated obviously on our credit performance which we don’t really see changing in the near-term, but if we continue to predominantly grow commercial real estate and multi-family loans as percentage of our loans, those tend to not need a very high level of reserves on them, so I would expect it to continue to trickle down from here.
Casey Haire: And then just, Eric, looking ahead regarding expenses, it sounds like some of the regulatory pressures are keeping you in that midteens range this year. I was just curious as we look ahead to next year, do you feel like this is the last kind of year of heavy lifting there and that next year we can go down to that low double-digit area where you guys have been historically?
Eric R. Howell: Yes, I think we’re going to have heavy lifting for many years to come Casey that’s what we are anticipating, so I think naturally growing off of a larger base we’ll see it come down to the low teens in 2016 but again it probably would have been in the high single-digits had we not had the regulatory expenses. So we’re anticipating a fair level of regulatory spend for the foreseeable future.
Joseph J. DePaolo: Yes, they’re going to be continued refinements on anything we submit, there were going to be things that we were going to be asked to do that haven’t even been brought over yet by the regulators because they are learning and that’s not a criticism, they’re just learning as they’re going along and we’re learning as we’re going along. And then not only do we have to worry about DFAS although we are years away from CCAR we’re going to be building up upon that if that requires for institutions at 50 billion. So, we’d want to have that expense over a period of time and not all at once. So, as Eric said we should expect to continue to have that expense.
Casey Haire: And then just then lastly, the other income line, like I know you guys have some tax strategies at work there, but it did work against you this quarter with the other loss kind of increasing and the tax rate holding steady. Is that just one-time in nature, or should we expect a similar dynamic going forward?
Eric R. Howell: Well no, the amount that we had this quarter should be the new run rate going forward. Each year we receive K-1s from the partnerships that we participate in CRE tax credit so we have to go through the process of determining what the new expense rate is going to be so that should be your new run rate going forward, ultimately we will see it would be beneficial to the taxes in future periods.
Casey Haire: So the tax rate could, so 2.2 sticks but we could see a better tax rate than 41.6?
Eric R. Howell: Slightly better but it will take some time for it to work through Casey, so I’d stick with the 41.6 for now.
Operator: Your next question comes from the line of Dave Rochester of Deutsche Bank.
Dave Rochester: Eric, I was just wondering what your assumption was for securities premium and expenses baked into the NIM guidance that you gave. And then I just wanted to confirm that you guys are just assuming that the current interest rate curve persists through 2015 and then absent that, right?
Eric R. Howell: Yes, that’s right. We expect the premium amortization to pick up a little bit in the first quarter and then pick up even more or so in the second quarter but ultimately we’ll be able to fight our way through that as we grow loans as a percentage of the balance sheet.
Dave Rochester: And then just one last one, could you give us an update on the ABL team on how large that portfolio is today and what your expectations for growth are there for the next year?
Eric R. Howell: The ABLs got lines of little under 100 million now outstanding, we’ve said when we brought that team on-board that they had lines of 300 million outstandings of around 200 million at their prior institution where that institution unfortunately had an MOU and other things that didn’t really allow them to grow at the pace that they had wanted. Here, we’d expect for them to get to that 200 million to 300 million over the course of the next couple of years. So we really look at that as a large team.
Operator: Your next question comes from the line of Chris McGratty of KBW.
Chris McGratty: Joe and Eric, the investment portfolio, if you look at it as a percentage of earning assets, it has obviously come down as you guys have remixed the balance sheet. Maybe I missed it in your prepared remarks, looking out the next 12 to 24 months, how should we be thinking about kind of the mix of securities in this rate environment? It's about a third today. Is kind of a 25% to 30% number reasonable, or do you think it will come in a little bit lower?
Eric R. Howell: Ultimately if we are in this environment we don’t really anticipate us growing the securities portfolio from where it is today, we will probably maintain this level maybe slightly reduced from the level that we’re at today. And then layer on top of your growth assumptions and loans and you can come up to what that number is going to be Chris, we really don’t talk about what we anticipate that to do.
Chris McGratty: On the FASB proposal, with the LIFO loan loss, can you comment on your expectations of whether we're going to see any kind of material adjustment once this does come into effect? Are you guys thinking about it? Thank you.
Eric R. Howell: I mean we really feel like we’ve pretty adequately reserved for the level of losses that we anticipate in that portfolio. But there is still a bit of work to be done there, so it’s a little premature for us to comment on whether or not we’ll have any one-time adjustments or not.
Operator: Your next question comes from the line of Peyton Green of Sterne Agee.
Peyton Green: I was just wondering maybe, Eric, I know you don't have much energy exposure to the leasing business, but what would be the amount of exposure maybe in the state of Texas?
Eric R. Howell: Actually we don’t have that number Peyton. I’ll have to get back I mean but again we’re not really concerned about our exposure there.
Peyton Green: And then with regard to deposit pricing, this change in kind the rate outlook year-to-date, do you think that that gives you any opportunity to reduce rates any further, or is the segment of your market still pretty stable?
Joseph J. DePaolo: Good question because the timing is such that we are, reducing some rates across the board, both in business money market and personal money market. We’ll be doing that over the quest of the quarter in February and in March. But we have already announced to our teams to start looking into what needs to be done. So it is some room in the cost of the deposits to bring it down somewhat and close to the reductions we’re making.
Operator: Your next question comes from the line of Ebrahim Poonawala of Bank of America Merrill Lynch.
Ebrahim Poonawala: And I am sorry if I missed it, but I was wondering if you talked about any additional verticals that you think you could add to Signature Financial in terms of, is there opportunity to do that, and if so, if you can provide any color there?
Joseph J. DePaolo: Well we’ve mentioned that we’re going to be municipality business. And then there are few other lines that we are looking at. But we are not making any announcement until we actually bring the people on-board because of the recruiting that we’re doing and we don’t want to give a heads up to our competitors as to what we are thinking. Other than the municipality I won’t mention anything else at the moment.